Daniel Fairclough: Good afternoon, everyone. This is Daniel Fairclough from the ArcelorMittal Investor Relations team. Thank you for joining this call to discuss ArcelorMittal's performance and progress in 2025. Present on today's call, we have our CEO, Aditya Mittal; and our CFO, Genuino Christino. Before we begin, I'd like to mention a few housekeeping items. As usual, we will not be going through the results presentation that we published this morning on our website However, I do want to draw your attention to the disclaimers on Slide 26 of that presentation. Following opening remarks from Aditya and Genuino, we will move directly to the Q&A session. [Operator Instructions] And with that, I will hand over the call to Aditya.
Aditya Mittal: Thanks, Daniel. Welcome, everyone, and thank you for joining today's call. Before I ask Genuino to walk through our financial performance, I want to start by reflecting on the progress we have made against our 2025 priorities. When I look back at the year, the achievements are clear and everyone at ArcelorMittal should be very proud of what we have delivered. I will focus on 3 key topics. First, on safety. Across the organization, our people are galvanized and fully engaged in improving safety performance. A year ago, we outlined a 3-year safety transformation plan. And in 2025, we have seen real measurable progress. All key safety KPIs have improved, most notably fatality prevention. Custom safety road maps are at the heart of ArcelorMittal's transformation program, designed to strengthen our safety culture, enhance risk management and drive progress towards our goal of zero fatalities and serious injuries. Secondly, on trade policy. ArcelorMittal has been a vocal advocate for the need to address the market distortions created by excess capacity and unfair trade dynamics. It is encouraging to see the European Commission recognize and address this over the past 12 months. With the new carbon border adjustment mechanism in place, we are now competing on a more level playing field. And the new tariff-rate quota trade measure will significantly limit the amount of steel that can be dumped into the European market. Together, this fundamentally resets the outlook for the European steel industry and creates the conditions for a balanced market structure that will restore profitability and returns on capital to healthy levels. I want to take this opportunity to reassure our customers that ArcelorMittal is ready and able to meet all their needs for high-quality steel delivered with the best-in-class service they expect from us. And while Europe has perhaps seen the most significant changes in trade policy, we are seeing real efforts in Canada and Brazil to also protect their domestic markets. This should add incremental support to our results in those regions as we move through this year. Moving to my third topic, growth. ArcelorMittal's growth strategy is clearly differentiated and sets us apart from our peers. In 2025, we began to reap the benefits of several strategic investments made in recent years. Our projects and portfolio optimization helped support our results in 2025, and this growth momentum will continue. Our strategic projects will add an additional $1.6 billion of EBITDA in the near future. A core pillar of our growth strategy is energy transition. We are expanding our renewables portfolio. We are building electrical steel capacities to support electrification and mobility, and we are expanding our EAF footprint where the economics make sense. We remain laser-focused on competitiveness and allocating capital to where we can achieve the strongest returns. We are consistently generating solid investable cash flow, $1.9 billion in 2025 and $2 billion the year before. This enables us to continue strengthening the business through investment in these high-return opportunities while consistently returning cash to shareholders. As I conclude, my message is simple. A more supportive trade policy has reshaped the outlook of our business. This is set to amplify the transformational progress we have delivered at ArcelorMittal in recent cycles. We benefit from best-in-class operations and an industry-leading R&D program. Our reputation for quality, innovation and operational excellence sets us apart from our competition, and this is all down to our people. So I would like to sincerely thank our employees and also our key stakeholders for their continued trust, commitment and support. I will now hand it over to Genuino to talk more about our financial performance.
Genuino Christino: Thank you, Aditya, and good afternoon, everyone. Let me start by saying that 2025 was another year in which the resilience of our business was clearly demonstrated. We delivered EBITDA of $6.5 billion, which is equivalent to $121 EBITDA per tonne shipped. This is almost double the margin that we achieved at previous cyclical low points and reflect how the earnings power of ArcelorMittal has structurally improved. The benefits of our optimized asset base and our diversified footprint are now being complemented by the additional EBITDA being generated by our strategic projects. In 2025, these projects contributed $0.7 billion of new EBITDA, driven by a record performance in Liberia, the continued build-out of our renewables capacity in India and the significant strengthening of our U.S. footprint following the full consolidation of Calvert. Turning to cash flows. In 2025, we generated $1.9 billion of investable cash. This brings the total investable cash flow generated since 2021 to $23.5 billion. Last year, we allocated $1.1 billion towards high-return strategic growth projects, returned $0.7 billion to shareholders and deployed $0.2 billion cash to M&A alongside $1.7 billion of net debt assumed through these transactions. Our results continue to show that ArcelorMittal can deliver value through all phases of the steel cycle. Today, we have proposed a base dividend of $0.60 per share. This marks the doubling of our dividend over the past 5 years and reflects our increasing confidence in the company's outlook. In addition to dividends, our share buyback program has been a major driver of value creation. Our share count has been reduced by 38% over the past 5 years, a pace unmatched by any of our peers, significantly enhancing value per share. Finally, regarding the positive outlook for 2026, we expect higher steel production and shipments across all our regions this year, supported by operational improvements and strengthened trade protections. We are confident in our ability to continue generating positive free cash flows in 2026 and beyond, and we will remain disciplined in allocating this through our established capital return policy. With that, Daniel, I believe we can go to our Q&As.
Daniel Fairclough: Excellent. Thanks, Genuino. [Operator Instructions] We have a good queue already, and we'll take the first question from Alain at Morgan Stanley.
Alain Gabriel: I've got a couple. I'll take them one at a time. First one is on Europe. So the industry structure is changing, and you have quite a flexibility across your European assets to bring in more tonnes to the market, should they be needed. How quickly can you bring these tonnes online? And what signposts would you look for before making that decision? That's the first question.
Aditya Mittal: Thank you, Alain. Can you say the last bit? What -- I missed it. What would we have to look for before we bring the capacity online? What was the question?
Alain Gabriel: Indeed. What signposts are you looking for before bringing the new capacity online? And how quickly can you bring this capacity as well?
Aditya Mittal: Fantastic. Thank you, Alain. So yes, look, I think clearly, the biggest change since I last spoke to you guys has been Europe. I won't go through the details of the TRQ and the CBAM program. In terms of your question, we are well positioned at ArcelorMittal because we do have certain idle capacity. We can bring that online quite quickly. It is not subject to reline. It is not subject to bringing back people who have been permanently laid off. So we could meet the deadline that is projected. I think the best -- the latest estimate remains 1st of July for the TRQ to be put in place. Hopefully earlier, but today, the latest estimate is 1st of July, and we'd be able to bring the capacity online in that time frame. What is the capacity? You may ask as a follow-up. We do have the ramp-up of our Sestao mini mill, which is underway. We have a new electric furnace in Gijon and we do have some spare blast furnace capacity. So it's a combination of the above in terms of idle capacity or available capacity. In terms of signposts, I think signposts are very clear, right? The signpost has to be customer demand, i.e., requirement in the market. We don't want to bring in capacity just for the sake of bringing back capacity. And related to that and underpinning all of that is earnings a healthy and sustainable return on the capital employed in Europe. So clearly, we remain focused on meeting customer demand, but at the same time, ensuring that these tonnes are profitable and achieve our return thresholds.
Alain Gabriel: And my second question is on the usual profit bridges Q4 into Q1, including the impact of the restart costs in Europe, if you decide to bring in some capacity in Q1? And then more importantly into Q2, where the lagged prices really kick in. So any color on that bridge would be very much appreciated.
Aditya Mittal: I missed the first bit of your question, but perhaps Genuino caught it all. So Genuino...
Genuino Christino: Yes, I got it.
Aditya Mittal: Okay.
Genuino Christino: Thanks. I got it, Aditya. Thank you. So let us start with the bridge then as we typically do. And I will start with North America because that's really where we're going to see a big delta quarter-on-quarter. So as you know, we were -- experienced our operational problems in Mexico that has been now largely resolved. So we will see a recovery in volumes in North America in Q1. As we know, prices have been moved up. So we will also see prices increasing in North America, right? So those are really the big 2 changes that we see in North America. We will be shipping more and prices will be higher. We're not going to have the repetition the operational costs from Mexican operations. Moving to Europe. In Europe, we will, of course, also see higher shipments, which is, as you know, also to some extent, seasonal. We will also see prices improving to some extent. But I would say that this is really more a second quarter phenomenon for us. Costs will also be moving up as we are seeing what is happening on the marketplace with the raw material basket and CO2 costs, right, following also the implementation of CBAM. Then Brazil should be relatively stable and also our mining division should also be relatively stable. We'll continue to ramp up the Liberia. So -- but we will -- in terms of shipment, it should be relatively stable quarter-on-quarter. So your -- second part of your question was on costs just to bring back this capacity. As Aditya said, it does not really involve. We're bringing more fixed costs. So the cost to restart this capacity will not be something meaningful to your bridge, Alain.
Alain Gabriel: And any hints you can give us on Q2 given that there's a lag effect in both North America and in Europe?
Genuino Christino: Well, I think that the key point there really is in Q2, as we know, I mean, that's always the strongest quarter from a volume point of view in Europe. So I would expect to continue to see that trend, right? And as we know, we'll see the full impact of the prices that we are seeing in the marketplace right now impacting our Q2 results in Europe and North America. We started to see prices also responding also in Brazil. So that should also improve our realized prices in quarter 2 as well.
Operator: So we'll move to the next person in the queue, which is Tristan at BNP Paribas.
Tristan Gresser: I have 2. The first is on Europe decarbonization. As you have now more visibility on the returns you can make in Europe, what are the next steps and the time line around all the decarbonization project you previously announced in each country? And if the structural margin level is now higher in Europe, does that mean also that your previous CapEx maximum of $5 billion could potentially be increased?
Aditya Mittal: Thank you, Tristan. Yes, a really good question. As all of you know, in Europe from 1st of Jan, the carbon border adjustment mechanism was put in place, which creates a level playing field in terms of carbon costs. In terms of decarb, we call it economic decarbonization in ArcelorMittal. We call it economic decarbonization because it has to make economic sense. What is our plan? We have long talked about we need certain preconditions to economically decarbonize our footprint in Europe or in other parts of the world. So the conditions that we've talked about publicly have been energy. As you saw in France, we signed a new energy contract with EDF. And at the same time, we wanted a level playing field in terms of carbon costs. Those conditions have been premet or those preconditions have been met. There is an economic case to decarbonize our operations. And so at this point in time, we're evaluating to decarbonize our French operations, specifically our Dunkirk facility by setting up an electric arc furnace. It's also in our presentation as future projects. In terms of what will come next, our idea is to be sequential. Taking on multiple projects at the same time is onerous, both from a people perspective, but also from a capital perspective. And therefore, you should be comfortable with our CapEx guidance of $4.5 billion to $5 billion on a going-forward basis because, yes, we're starting Dunkirk. The intent is to do it sequentially, not overburden the organization, both from a people resource or a capital perspective. And at the same time, as I underlined and highlighted, these are economically attractive decarbonization projects.
Tristan Gresser: That's very clear. And the second question is still on Europe and more on the ETS reform and review. What is your view on the potential extension of the phaseout period for free allowances in Europe, if you are in favor, and what it could change for your business? And how likely do you think as well that the commission will move forward and extend the deadline past 2034?
Aditya Mittal: Yes. Thank you, Tristan. Look, I talked about this in my quote, in the earnings release, that the biggest change that has happened is -- in 2025 is a realization that countries around the world need the steel industry. It's about supply resilience, it's about national security. And we see increasing action to support the domestic steel industry, whether it's through trade or other actions. I see the same dynamic in Europe, right? That's the fundamental shift that has occurred in 2025. So there is support that's coming through the TRQ, there's support that's coming through the CBAM, but I also see a fundamental rethink that Europe cannot deindustrialize, but needs to retain and support its strategic industries. So I would take the ETS review in that context because that is the new dynamic and the ETS review should reflect that new dynamic. What is ArcelorMittal's focus area in that new dynamic or in the ETS review, is to highlight that today, energy costs in Europe remain very high relative to the global averages. Gas prices remain very high relative to what is available globally. And at the same time, when you look at what other steel companies around the world or other countries are doing in terms of decarbonizing their steel business, the pace is much slower, right? The steel industry is not able to adapt at the rate or slash pace that the ETS system is currently designed to do that. And so I do believe that we need to -- that the ETS system needs to adapt to reflect these realities. To the extent that it does not adapt to reflect these realities, at the end of the day, the CBAM is in place, right? We have a carbon border adjustment mechanism. So to the extent that we incur a carbon cost, the same as incurred by imported tonnes, and so there is a level playing field. And so I hope that provides a perspective on our thinking.
Tristan Gresser: That is very clear.
Daniel Fairclough: So we'll move to take the next question, which we'll take from Ephrem at Citigroup.
Ephrem Ravi: Just 3 non-European questions, for a change. Firstly, on the Page 12 of the presentation, when you say further expansion at Hazira under study. Just to clarify, is that to the 15 million to 24 million tonnes that you've already planned and guided to by end of the decade? Or is it to beyond 24 million tonnes?
Aditya Mittal: Thank you, Ephrem, for the questions. I'm not exactly sure what you're referring to, but let me talk about what's happening in Hazira. So this will provide a broader context and I hope it answers the question. So just starting with the macro, India remains a growth market, right? Demand continues to grow at 6% to 8%. We have an excellent facility with excellent products, excellent quality, excellent people, and we have a very strong platform to grow that. Today, our current capacity is about 9 million tonnes in Hazira and we are finishing our expansion, which will start up towards the end of the year, but will really be completed in 2027, where we will achieve a targeted capacity or design capacity of 15 million tonnes in the Hazira facility. We're actively working on an additional greenfield facility. We have not announced what the capacity level would be, but safe to assume it will be about 8 million tonnes on the Eastern Coast of India in Rajayyapeta. So that remains an option. And as we make progress on finalizing environmental clearance, land acquisition, virtual integration in terms of iron ore, we will be updating the market. Fundamentally, the vision is to grow the business and to achieve a design capacity in excess of 40 million tonnes in the long term.
Ephrem Ravi: So very quickly, switching to Brazil. There are news reports that CSN is considering selling its steelmaking. I don't want you to comment on M&A specifically, but do you think you're capped out in Brazil from an acquisition perspective, given your high market share already?
Aditya Mittal: So in Brazil, we have an excellent business. As you know, we have 2 facilities, Tubarão and Pecem. Two big picture points on Brazil. We're working with the government to further support the steel industry in terms of trade measures, so there is progress on that front. But simultaneously, we're growing our franchise, right? We just completed the Vega facility, which is automotive galvanizing capacity. In the presentation, you can see that we're evaluating further downstream capability in Tubarão. We have certain mining projects, which have come on stream in Brazil, namely Serra Azul. We have investments in the long business. So we are very comfortable with the business that we have. We have, like in other parts of the world, an excellent set of assets with excellent people and really are the market leader in terms of product quality, product capability as well as what we offer the market in terms of innovation, design, service, et cetera.
Ephrem Ravi: And then finally on Calvert. You're ramping up your furnace #1, and it will be done pretty much in 6 months, I think. Given kind of the challenges of mobilizing another team for the next phase of expansion there, when do you think is a realistic time frame for approving the second EAF?
Aditya Mittal: Yes. Ephrem, it's a great question. I don't expect it to be a medium-term phenomenon. I can't give you a specific time line. I expect this to be in the short term. We have put it in our presentation. We have further organic growth plans, Calvert, Dunkirk as well as what I just spoke about in terms of Brazil. We're also building up our electrical steel facility in Calvert, as you are aware. So we have completed the EAF, but we have another facility ongoing and we have plans to double our EAF capacity. So that is an update that I can provide. I don't know if Genuino can provide more of an update.
Genuino Christino: No, I think that's a fair summary, Aditya, and we will have to wait and see when we announce the next steps.
Daniel Fairclough: So we'll move now to take a question from Cole at Jefferies.
Cole Hathorn: Just a follow-up on Europe and the impact of the import quotas and how you're thinking about ramping up your capacity. It's very difficult from the outside in to kind of put some shipment numbers to that. If we think that 10 million tonnes of imports are going to be displaced and ramped up in Europe, how do you think about how much Mittal can ramp up to meet those needs? Should we think about it as kind of 3 million to 4 million tonnes kind of keeping your market share? And when you talked about being able to ramp up initially some idle capacity, do you have an idea in mind, we can ramp up 2 million of that 3 million tonnes and then we'll need to put some more CapEx into that?
Aditya Mittal: Yes, thank you for the question. I'll get Genuino to answer it. But just to maintain our market share, which is our intent, there's not that much significant CapEx that's required, right? We spoke about that earlier. So we do have idle capacity. We can bring it online to achieve the market growth. It's not a market share fight, right? It's to achieve market share growth based on customer demand. Genuino?
Genuino Christino: Yes. I think you got the numbers right, right? So we are talking about 10 million tonnes of reduction of imports, about 8 million is for flat products, right? We talked about in the previous quarter, our market share against the domestic supply of about 30%. So I think you got the numbers right. And as you know, this is going to happen, we're going to see really the full impact of that in 2027 because as Aditya mentioned, our best guess today is to have the new TRQ from 1st of July. So we are already working on some of these tools, furnaces, be it France or Poland. So I think we're going to be in a good position to meet the demand. And I think that's really important for us to be able to service the customers when they need us, and that is our focus. So I would not expect to add more CapEx. You have our guidance. So we have provided the guidance of $4.5 billion to $5 billion, right? And it's all included in that. So I would not, at this point, conclude that there is more CapEx to come to be able to bring this extra capacity that we are talking about.
Cole Hathorn: And then maybe just as a follow-up on that, to Alain's question. What's the trigger to start kind of ramping some of your idle capacity or improving operating rate? Do you really need to start seeing the demand and pricing as the trigger to start building some inventories? And Europe for a long time has benefited from having, I would say, quite short supply chains. Do customers need to adapt to longer order books or longer supply chains, which I imagine would be good for Mittal?
Genuino Christino: Yes. Well, I think, look, this is not really a fight for market share, right? So I think we are -- we want to be ready when we see that demand, right? And so we're not going to be increasing capacity or just for the sake of doing it. I think Aditya mentioned it at the beginning of the call, our focus is on make sure that as we bring back this capacity, that it makes sense also from an economic point of view, that we earn our cost of capital. And I think that is our focus. Aditya, do you want to add to that?
Aditya Mittal: Yes. I feel that you answered the question very well, Genuino, but there's also an answer in the question, the order book. I think the order book determines when we bring on this capacity. We don't have that much of long lead time in bringing on some of this capacity. Also recognize that we have a lot of slab capacity in Brazil. So we can augment our facilities with slabs from Brazil. So there is flexibility in-built in our operations, and we will examine the order book. And based on that, we will plan our production cycles.
Daniel Fairclough: So we will move to take the next question from Reinhardt at Bank of America.
Reinhardt van der Walt: First one, I just want to check on the dividend increase. Quite a substantial increase, I guess, this year-end and over the last 5. It does seem like the buyback pace has slowed very slightly. Should we read this as maybe a mix shift in how you're returning capital to shareholders? Or should we read this as an increase in the absolute level of payback in the dividend?
Aditya Mittal: Yes. Thank you, Reinhardt. I'll get Genuino to answer it specifically or provide more details. But just at a high level, there is no change to our capital allocation framework, right? We think it has really served the company and its stakeholders really well. The framework remains 50% of free cash flow return to shareholders and 50% in terms of growth. We talked a lot about our growth portfolio in our opening remarks. You can see how well that is doing. We have not really used up much of the balance sheet, and yet we're delivering significant earnings enhancement, both in 2025, but also going forward. In terms of returns to shareholders, if you see, the share buyback program has been very successful. And because of the confidence that we have in the underlying operating business and what we're seeing from a macro perspective, we're very comfortable in increasing the dividend this quarter to $0.60. With that, Genuino, please go ahead.
Genuino Christino: Yes, I think you touched on the key aspects of it. I think we did well in 2025. So we did more than the minimum according to our policy. And I think that's really the key message for everybody is the policy has been working extremely well. I think we're very pleased with the outcome of the policy based on our interaction with shareholders as well. We have a very good positive feedback. So the intention is to keep that. 2026, we believe will be a better year in terms of profitability. We are very confident that the company will continue to generate good levels of free cash. And as you know, the policy is such that 50% of that as a minimum should flow to shareholders. And we continue to see good value in our stock. So I would think that as we generate free cash, the buyback will continue to be our preferred tool to return cash to shareholders.
Reinhardt van der Walt: Understood. That's very clear. And maybe if I could just ask one more question on your demand forecasts. So 2% next -- this year ex China, but Europe specifically, I mean, we're seeing sort of PMIs turning and construction indicators moving, especially since you last reported. Can you give us a more specific number for the European market by any chance?
Aditya Mittal: Yes. Reinhardt, thank you for the question. We -- this quarter, we provided global guidance. The reason is because bare steel consumption is changing. I guess what am I trying to suggest to you, historically, when we published our ASC numbers, that became a proxy for the change in our shipments in terms of markets. That is no longer the case because trade has become such a big driver that the change in our shipments is much more driven by trade policy. So what we did want to do was provide you with the global outlook, a positive macro outlook. That's what we're seeing. You spoke about some other factors in Europe. The other factors in Europe that we're seeing on a more medium-term basis is the German infrastructure spend. That's quite significant, as you are aware. You also see a resurgence in defense-based spending, right? Now European countries are moving towards 5% of NATO spend, so that's a positive medium-term dynamic. Globally, in other markets, there are other positive dynamics. So we just wanted to provide with a -- with you with a global perspective and then you can model what you expect how our shipments will do based on the changes in trade policy. So I hope that answers the question.
Daniel Fairclough: So we'll move now to take the next question from Bastian at Deutsche Bank.
Bastian Synagowitz: Just the first one on Europe as well. And I guess, you turned more positive on the market as we all do. Just looking at the market structure, though, Europe is obviously still a much more fragmented market than many other markets you're operating in. And I guess you did your job to a very large extent, but do you still see more scope and need for consolidation in Europe? And would you aim to continue to play a role in this? Or is this something you would leave to the other players? That's my first question.
Aditya Mittal: Yes. Thank you, Bastian. We are very comfortable with our footprint in Europe. As we talked about, we have latent capacity to grow it at minimal capital costs or CapEx. And as you do it, you get economies of scale, you get fixed cost dilution, i.e., fixed cost absorption. The assets that we have are well invested. They're producing high-quality products. We don't really see significant benefits from consolidating at this point in time. If anything changes, obviously, from further consolidation for us in Europe, if anything changes, obviously, we will update you guys.
Bastian Synagowitz: Got you. Okay. Very clear. Then one more question actually on just the back and forth we've seen on the European stance with regards to Russian material and how it may be treated in the context of the planned TDI. And I guess that also particularly depends on how far semifinished products are in scope or not. So do you have a view on this? And how far Russian semis may or should be tackled by the new tool?
Aditya Mittal: So I can just provide you with information versus a perspective. In terms of slabs, you're right. They are not part of the tariff-rate quota, the TRQ. There has been a position paper that has been published by the European Parliament, I believe, where they are demanding they are demanding that there is no Russian slabs that are brought into the European marketplace. But it is not a position that has yet been adopted by either the council or the commission. Clearly, there is a move in that direction, but time will tell whether that actually gets enacted into policy or not.
Daniel Fairclough: So we'll move now to take a question from Matt at Goldman Sachs.
Matthew Greene: I have a couple of questions just on CapEx and then a follow-on, on Liberia. Just on CapEx, perhaps you can just clarify a couple of things. Just the strategic CapEx spend was a bit of a -- it fell short, I guess, of what you guided for the year by about $300 million, $400 million. So you spent about, I guess, 75% of the CapEx, yet still delivered the full $400 million of strategic EBITDA uplift that you guided through last year. So I guess, can you just sort of talk about what the moving bits are? Has that CapEx been deferred into 2026? Has it been canceled? Because I see '26 as that -- is that EBITDA uplift or that target uplift has been trimmed slightly as well? So yes, if you could just help marry up what's going on there with some of the strategic CapEx spend, please?
Genuino Christino: Yes, Matt, let me take that one. So you're right. So we came at the end a little bit lower than the low end of our range for CapEx. And really the biggest delta there, Matt, is you may have seen that we have just recently finalized the MDA extension for Liberia, right? And we are providing you with the number there. So this will -- we will have to pay the government $200 million in Q1, and that number will be part of our CapEx because it gets capitalized and amortized throughout the life of the new MDA, which now extends until 2050, right? So that's about $200 million. So if you add that to our CapEx of 2025, then we are there. So no change to the projects or delays. So we continue to move forward, right? And then when we think about what we're going to be doing in 2026, I think a lot of the CapEx will go into electrical steels in the U.S., in Europe, the renewables, the projects that we announced for renewables in India, right? And then, of course, we will have this $200 million for Liberia that should be paid in quarter 1. So that's how I would describe the moving parts, pieces of our strategic growth CapEx.
Matthew Greene: Got it. That's clear. Okay. So just a delay in that spend and, obviously, no EBITDA uplift given it's an extension of the mining agreement. Okay. That's clear. Well, look, moving on to Liberia then, just you touched on this agreement allowing you to push the rail up to 30 million tonnes. How should we think about the criteria here that would trigger the decision for you to move beyond 20 million tonnes? And perhaps you could just touch on what are the limitations? Is rail the limitation at 20 million tonnes or is it the mine? Are you oversizing any part of the mine to, I guess, allow you to expand at a lower capital intensity in the future? Could you just touch on kind of how you're thinking about that pathway to 30 million tonnes?
Aditya Mittal: Yes. Thank you, Matt. It's a great question. In terms of capacity, there's minimal infrastructure required for rail. The rail is quite well designed. They can accommodate up to 30 million tonnes. You probably have to buy some rolling stock, but you don't have to set up a whole new rail infrastructure. In terms of the mine, we want to further explore and develop the mining licenses that we have and examine how we can bring production up to 30 million tonnes at low capital costs that achieve our return on capital. That's fundamentally it, right? We want to make sure after we had made this investment, which is doing really well, and we can see the increase in production in Liberia and more expected in 2026, how we can continue to outperform and deliver these projects, which create higher returns for the company. So that study is underway and as soon as that is complete, we'll update you. It's not in our document in terms of what you can expect in the short term. So you can expect that this will take a little bit of time before it's finalized.
Daniel Fairclough: So we'll move now to take a question from Timna at Wells Fargo.
Timna Tanners: I wanted to follow up with Aditya's comments on the opening remarks about the additional measures in Canada and Brazil. I'm curious about your thoughts. There's also, of course, threats to India and Mexico of your coverage. And given the sharp measures to prohibit trade or restrict trade, I suppose, to the U.S. and EU, is there not even more risk on those regions? And are they doing enough to combat the excess supply that you've alluded to?
Aditya Mittal: Yes, Timna, look, excellent question. The short answer is yes. There is heightened risk in these markets. So I talked about Canada already, so I won't go through it. I addressed Mexico, I believe that they're moving forward, but the pace can be accelerated. In terms of Brazil, it's a similar conversation. The government is very engaged on ensuring that the steel industry in Brazil continues to thrive. They understand that the steel industry is domestically important, both long and flat. There have been some new measures that have been put in place recently. We expect this to further develop. Let us see the impact of the European trade measure that will be put in place latest by 1st of July and what it does to some of these markets. But I would expect that governments will react. I mean if there is a direct impact, I think everyone is recognizing that, that is very important to support the domestic steel industry for supplier resilience, for national security, for various other reasons. And so I am not overly concerned by that development or by that scenario, I should say. In terms of India, in India, I think you are solving for 2 things at the same time. It's unique from other markets in the sense that there is significant growth. And when you have growth that clearly supports the development, it supports profitability, as you continue to drive scale advantage, you can do productivity improvement and the 6% to 8% growth level is quite healthy for our market. And so I think the growth vector offsets some of the trade actions in that market because the government remains very focused on inflation. Nevertheless, even with the existing trade policy in place, we can see that the steel industry in India remains profitable. Growth is profitable, and that's where we continue to expand our operations. So Timna, I hope that provided you with a quick perspective.
Timna Tanners: Yes, I appreciate it. It's not a quick topic, but we'll stay tuned. The other question we had, I just wanted to get your perspective on the substitution risk and opportunity in Europe, in particular. So we have heard that maybe Audi is switching more to steel from aluminum on the margin, but then also perhaps the move up in prices could risk some demand destruction. So I just wanted your thoughts on substitution both ways, if possible, please.
Aditya Mittal: Sure. So we have gone through markets in which there have been significant tariff or trade measures put in place. I mean, I believe we live in one, the United States. And we have not seen that level of demand disruption or significant demand disruption in the downstream industries, right? So I think overall, this is not a phenomena that we are concerned about. However, we do want our customer base to be competitive. I think we always want to grow with our customer base. So that really is the thing that we want to solve towards, how can our customer base continue to grow and flourish. In that, I think there is a lot of activity in the European Union, a recognition that is also very important for European industrialization. And so if you see in the TRQ, there is a conversation on what has to be done on downstream industries as well, similar to what the U.S. has done. And so I would expect that once this is in place, there will be a conversation on TRQ measures for downstream industries. The downstream industries are not as well organized as steel, so it will take some time, but I do expect that to occur. There's a similar conversation on CBAM for downstream industries. What can be done in terms of CBAM for downstream industries? So I do expect that as these measures are put in place for the steel business, they're also put in place for some of the downstream industries. And there's also support. For example, we're growing our electrical steel franchise. And we do want to see electric vehicles being manufactured in Europe, not just the assembly of the vehicles, but everything, right, the whole gamut of activities. So that is the direction of travel and that is what we remain focused on. In terms of automotive steels, look, we have a leading franchise. We continue to do very well in demonstrating that steel is a premier product. It has excellent lightweighting capability and is available at a very competitive cost. Through our R&D efforts, through our process capabilities, that journey continues in all the markets in which we operate.
Daniel Fairclough: So we'll move now to take a question from Phil at KeyBanc.
Philip Gibbs: Regarding Calvert, just curious where the current operating rates are on the EAF. And then in Mexico, how much incremental volume should we think is coming back after the outages?
Genuino Christino: Yes, Phil. Look, we are progressing, Phil, with the ramp-up of the EAF. So our expectation is to see a meaningful improvement in quarter 1. And as we discussed, we are hoping to be up and running at capacity towards the end of the second half, right? So it's progressing well. We are in dialogue with our customers for the homologation of the product. So it's progressing well. In Mexico, really the volumes that we're going to see coming in quarter 1. So as you know, we have 2 business in Mexico, longs and flats. The long business was basically the furnace was not operating in quarter 4 and started end of Jan. So you're going to have 2 months there, and it's a furnace that produces about 1 million tonnes. So you're going to have 2 months of the production and shipments. So that's what you're going to see. On the flat side, so we were -- we had maintenance for about 1 month in Q4. So you're going to have the full quarter, quarter 1 in operation. So that should add another. So we are talking about 2.8 million tonnes for our flat business at the moment. So then it's going to be 1 month more of capacity, Phil.
Philip Gibbs: And then just as a follow-up, I saw D&A pop pretty good in Q4. I think largely, it was in North America. What should we be modeling just overall for D&A for '26?
Genuino Christino: For '26 overall or you're asking for overall or for North America?
Philip Gibbs: Overall. I just noticed the change in North America a lot quarter-over-quarter, but...
Genuino Christino: Yes, yes, yes. So if you read our MDA, you're going to see we are providing a guidance on that, Phil. It should be in the range of $2.9 billion to $3 billion. So some of the new projects, of course, coming online. So there is a depreciation for that, right? And what you see, the data that you see in North America in quarter 4, it's just as we typically do at the end of the year. So -- and as we know, this is all based on estimates and to the extent that we have assets that ended -- get to end of life, we have this correction. So that should not be the run rate for the full year.
Daniel Fairclough: So we have time I think, for one more question, which we will take from Max at ODDO.
Maxime Kogge: So the first one is on Ilva. There has been some developments recently, which have forced you to issue a press release. Can you perhaps give us some sense of the next milestones there? And when we will get more clarity on the financial impact? I assume you haven't provisioned any amount at this stage, right?
Genuino Christino: Max, yes. So look, I mean, you have our response there, right? And you referred to the press release and that's the right place to go. And you're absolutely right. So we have no provisions for that. We don't believe that is the case it has any merit. So there are no provisions in our books. And in terms of timing, I mean, we will see, but when we speak with our lawyers, it's likely that it may last for a couple of years. So we will, of course, update you as and when there are new developments. But it should be -- it should take some time.
Maxime Kogge: Okay. Second question is on CBAM. Can you perhaps give us a bit of your initial feedback on the first months of implementation? Do you still see some circumvention going through the system? It seems also there was some import front-loading ahead of CBAM at the end of last year. So does it mean that most of the impact from CBAM in terms of pricing is yet to come?
Aditya Mittal: Yes. That's a great question. So I'll address parts of your question. In terms of the front-loading of the CBAM, the CBAM came into effect 1st Jan 2026. However, as per the legislation, it's for a product which is produced before 1st Jan 2026 does not have any CO2 cost, right? So the product may arrive in Jan or Feb, but as long as it was produced in December 2025, there is no CBAM effect. So you don't see it in the January numbers. However, we are seeing it now because import offers are including CBAM costs. And as you can see, in Europe, there has been a change in the spot pricing of steel and that is reflecting -- some of it is reflecting the CBAM effect. In terms of your question on circumvention that as you know, there is also an activity to further tighten the CBAM. And there are a few topics to address. I spoke about, I think Timna asked a question on downstream. I spoke about the downstream. There is a review on what to do for CBAM for downstream. There is also a fund that is being created to support exports from Europe, right? And how we can support steel companies in Europe so that they can continue to export product globally. And then the third aspect is circumvention. So there is circumvention legislation, and we need to make sure that there is no resource shuffling and circumvention that occurs. At this point in time, we have not seen that. Clearly, the default values are in place. Certain companies will work through actual values. But fundamentally, so far, we have not seen that.
Maxime Kogge: Okay. Very clear. And just the last one is on the India greenfield. So as the construction is getting nearer, how should we think about this financing? Will it be self-funded or through bank lines as previous phases of the development were done? Or will it be partly funded by equity injections from the shareholders, in which case, are you going to include them in your CapEx guidance?
Aditya Mittal: Yes. Look, a great question. We are focused at ArcelorMittal on minimizing funding costs both at ArcelorMittal and our joint ventures. So we will make sure the capital structure that we put in place, both in India and ArcelorMittal supports that. To the extent that we have further news on that to share with you in terms of CapEx guidance or others, we will obviously update you. At this point in time, we are focused on achieving groundbreaking, achieving the key milestones and then we will come back and report to you on how we are minimizing overall funding costs.
Daniel Fairclough: So that, Aditya, was our last question, so I'll hand back to you for any closing remarks.
Aditya Mittal: Okay. Great. Thank you, Daniel. Thank you, everyone, for taking the time to join us. I hope the discussions gave you a clear sense of the progress we are making and the confidence we have in the road ahead. As you all heard, the outlook is positive. Policy developments are creating the foundations for a fairer and more balanced market. Our investments, particularly those supporting the energy transition, are delivering tangible returns and positioning us for long-term value creation. As I said, right at the opening, what underpins all of this and what is the foundation of all of this is our people. Across the company, I see a deep commitment to operational excellence, to innovation, to building a safer and more competitive ArcelorMittal. This gives me great confidence that we can continue executing our differentiated strategy to safely grow ArcelorMittal and create value for all our stakeholders. Thank you once again. With that, I will close today's call, and I look forward to speaking with you again soon.